Operator: Good morning, and welcome to the Third Quarter 2016 Earnings Release Conference Call for the FMC Corporation. Phone lines will be placed on a listen-only mode throughout the conference. After the speakers' presentation, there will be a question-and-answer period. I will now turn the conference over to Mr. Brian Angeli, Vice President, Investor Relations for FMC Corporation. Mr. Angeli, you may begin.
Brian P. Angeli - FMC Corp.: Thank you, and good morning. Welcome to FMC Corporation's third quarter 2016 earnings call. Joining me today is Pierre Brondeau, President, Chief Executive Officer and Chairman, and Paul Graves, Executive Vice President and Chief Financial Officer. Pierre will begin the call with a review of FMC's third quarter performance and discuss the outlook for Q4 and full year 2016. Paul will provide an overview of select financial results. The slide presentation that accompanies our results, along with our earnings release and 2016 outlook statement, are available on our website, and the prepared remarks from today's discussion will be made available at the conclusion of the call. As with our prior calls, Mark Douglas, President, FMC Agricultural Solutions; Eric Norris, President, FMC Health and Nutrition; and Tom Schneberger, Vice President and Global Business Director, FMC Lithium, will join to address questions. Before we begin, let me remind you that today's discussion will include forward-looking statements that are subject to various risks and uncertainties concerning specific factors, including but not limited to those factors identified in our release and in our filings with the Securities and Exchange Commission. Information presented represents our best judgment based on today's information. Actual results may vary based upon these risks and uncertainties. Today's discussion will focus on adjusted earnings for all income statement and EPS references, and pro forma revenue and segment earnings for FMC Agricultural Solutions. A reconciliation and definition of these terms, as well as other non-GAAP financial terms to which we may refer during today's conference call, are provided on our website. With that, I will now turn the call over to Pierre.
Pierre R. Brondeau - FMC Corp.: Thank you, Brian, and good morning, everyone. Q3 2016 was another strong quarter, reflecting the continued execution of our strategy. FMC reported revenue of $808 million, adjusted operating profit of $134 million and adjusted EPS of $0.67. Adjusted EPS increased approximately 60% compared to the third quarter of 2015, exiting the top-end of our guidance range of $0.53 to $0.63. Our performance in the quarter was driven largely by the results of Ag Solutions and Lithium, both of which reported a significant year-over-year increase in segment earnings. In Ag Solutions, compared to last year, we saw an improved start of the season in Latin America especially in Brazil, a stronger performance in both Asia and North America. Lithium continued to benefit from higher prices, improved mix and lower operating costs. Third quarter segment earnings in Health and Nutrition were slightly below 2015 but in-line with our expectations. The lower tax rate in the quarter contributed approximately $0.03 to adjusted EPS. As noted in our outlook statement and as Paul will discuss later in the call, we expect to continue to report a lower tax rate for the remainder of the year and into 2017. Based on our performance in the third quarter and on our outlook for Q4, we are revising the range of our full-range adjusted EPS guidance to $2.76 to $2.86 per share. At the midpoint, this represents an increase of $0.06 per share compared to the prior guidance, and an increase of $0.14 compared to adjusted EPS for 2015. I will provide more detail on the outlook for Q4 shortly but first, I will discuss third quarter results for each of our three segments starting with Ag Solutions on slide two. For the third quarter, Ag Solutions reported revenue of $559 million and segment earnings at the top of our guidance range of $90 million. Compared to the third quarter 2015, revenue declined 3% as lower sales volume in Brazil more than offset the benefit of higher prices in that country and volume growth in other regions. Year-over-year price increases were largest in Brazil, where we continue to recover pricing in U.S. dollar terms. Segment earnings increased over 50% and margin improved 600 basis points as higher realized prices, improved mix and favorable foreign exchange more than offset the impact of lower volumes and slightly higher costs in the quarter. Costs were higher principally as the result of the timing between quarters of certain expenses. For the full year, we remain on track to achieve our integration cost savings target. Turning to slide 3, I will provide additional comments on Ag Solutions' regional performance and discuss the outlook for Q4, starting with Latin America. Revenue in the region declined 18% in the quarter, driven largely by lower sales volumes in Brazil, general market weakness, ongoing product rationalization effort, and our decision to allow channel inventory levels to reduce. Each contributed to the decline in sales volume in Brazil. The elimination of low-margin third-party products accounted for over 50% of the volume decline in the quarter. Revenue in the rest of Latin America was roughly flat compared to 2015. In Argentina, we continued to see increasing demands for FMC's Authority herbicides. (7:15) In Mexico, our focus on high-value crops is helping to offset the impact of a broader market decline. The actions we have taken throughout the past year in Brazil enabled us to realize significant increases in U.S. dollar-based pricing, improve operating margin and drive collections in the quarter. Price actions increased operating earnings in Brazil by about 30% year-over-year, which, combined with lower operating cost, returned operating margins to 2014 levels. Our actions in Brazil also enabled the business to reduce accounts receivables in the country and generate cash collections of over $200 million, a significant improvement over our performance in the same quarter last year. Moving on to Asia, revenue in the region grew by 9% in the quarter compared to 2015, driven mainly by increased sales volume throughout the regions. Improving weather conditions in Australia created strong demand for our L-grade (08:48) herbicide and for fungicide's portfolio. A return to a more normal monsoon season in India and Southeast Asia supported increased demand for insecticide and fungicide, with strong growth in Indonesia for rice applications. In Europe, revenue increased 6% in the quarter. Increased sales synergies and higher volume in Eastern Europe as we expand our direct market access, coupled with strong herbicide sales in the UK more than offset challenging conditions in Northwest Europe. In North America, revenue in the quarter increased 46% to 2015's. We saw higher sales volumes related to new product introduction for winter and spring wheat and increased demand for herbicide. Looking ahead to Q4, we expect market conditions to remain largely unchanged. We are cautiously optimistic regarding Q4 in Latin America, given the start of the selling seasons in Brazil and strong demand for FMC product elsewhere in the region. However, we are more cautious on market conditions in North America, where we expect weak market conditions into 2016-2017 crop season. For the fourth quarter, we expect segment earnings to be between $117 million and $137 million. At the midpoint, this implies segment earnings growth of approximately 25% compared to the fourth quarter of 2015. Improved U.S. dollar pricing in Brazil and lower cost year-over-year are expected to drive a meaningful increase in segment earnings margins in the quarter from 15% in 2015 to closer to 20%. We are pleased with the progress made in Ag Solutions to drive margin improvement in the business. Prior to the acquisition of Cheminova, Ag Solutions consistently delivered consolidated operating margins between 20% and 25%. And we are well on our way to returning margins to that level. We are tightening our full year segment earnings guidance to $390 million to $410 million with the midpoint of our range unchanged and continue to forecast full year revenue of about $2.3 billion at the midpoint. Turning next to Health and Nutrition on slide 4, for the third quarter, Health and Nutrition reported revenue of $179 million and segment earnings of $45 million. Revenue declined 9% year-over-year largely as a result of lower volume, timing of sales to certain pharma customers in Asia and Europe, and headwinds from Omega-3; each contributed to the volume decline. Segment earnings of $45 million declined 4% compared to 2015. However, operating margins improved 120 basis points, to over 25% in the quarter. The negative impact of lower volumes and product mix was largely offset by lower operating costs as a result of ongoing operating excellence programs. For the fourth quarter, we expect segment earnings of between $53 million and $57 million, and for the full-year, forecast segment earnings to be in the range of $190 million to $194 million. At the midpoint, Q4 segment earnings are expected to increase almost 20% compared to Q4 2015. The bulk of the increase in segment earnings is due to the timing of certain favorable cost variances from prior period which will drive segment earnings margins to between 29% and 30% in the quarter. For the full year, we expect margin of about 25% to 26%. Moving on to Lithium on slide 5. Lithium delivered another outstanding quarter. Revenue increased 22% to $70 million on the back of increased price and more favorable mix. Segment earnings rose to $18 million from just $2 million last year. Market conditions remain favorable with demand increasing ahead of supply. As a result, prices across the portfolio were higher compared to the last year. These price increases, combined with the most favorable sales mix, lower cost and a benefit from foreign currencies, drove the improvement in segment earnings and margin in the quarter. We expect the positive momentum in Lithium to continue with fourth quarter segment earnings between $16 million and $20 million, approximately 60% higher year-over-year, at the midpoint of the range. Based on Lithium's performance to-date and their expectation for Q4, we are increasing full year guidance for segment earnings by $5 million at the midpoint to a range of $65 million to $69 million. Full year segment earnings margin should be about 25% compared to 10% in 2015. Before turning the call over to Paul, I will comment briefly on the outlook for the fourth quarter and full year 2016 on slide 6. We are tightening full year segment earnings guidance for both Ag Solutions and Health and Nutrition and increasing guidance for Lithium. Based on these segment guidance and the lower tax rate which Paul will discuss in a moment, we expect fourth quarter adjusted earnings per share to be in the range of $0.82 to $0.92 and full year adjusted EPS in the range of $2.76 to $2.86. I will now turn the call over to Paul.
Paul W. Graves - FMC Corp.: Thank you, Pierre. I'll start with the tax rate and the non-controlling interest on the income statement, before I move on to the impact of currency cash flow and the balance sheet. So, first tax. Year-to-date, our adjusted effective tax rate is around 23.5%, which is slightly lower than we initially expected. This is driven by an increase in the contribution of earnings from our foreign entities compared to prior years. And while this trend is most apparent in Ag Solutions, we're actually seeing it in all of our businesses. We expect the adjusted effective rates to be in the 23% to 24% range for the fourth quarter. And looking into 2017, we expect that rate may fall by as much as 3 percentage points resulting in a full year adjusted effective tax rate closer to 21%. This further reduction is mainly the result of the operational integration of Cheminova, which will impact our supply chain and our earnings mix globally. Our noncontrolling interest line continues to shrink as part of the integration of Cheminova and taking advantage of opportunities to simplify the ownership structure of some of our international entities and are taking or have taken steps to consolidate ownership in places such as Argentina, China and Eastern Europe. Largely as a result of these steps, we expect the noncontrolling interest line to fall to approximately $5 million this year and remain near this level next year. Touching on currency, this quarter saw none of the rapid movements in major currencies that we saw last year. And, as a result, FX had a far smaller impact on our results. Across all businesses and regions, currency was a tailwind to earnings with a large favorable movement in Brazil, the biggest factor. The other major currencies for which FMC is exposed, namely the euro and the RMB, had no meaningful impact on our earnings in the quarter. For the year-to-date, the currency has been broadly neutral to earnings. Moving on to cash flow and slide 7. The first thing I want to point out is our increase in cash flow guidance for full year from a range of $450 million to $550 million to a range of $550 million to $600 million. The midpoint of this revised guidance reflects an increasing cash generation of almost 60% compared to 2015. Higher earnings, stronger working capital performance and tightened spending discipline will all contribute to the year-over-year increase and give us confidence that the higher level of cash generation we've seen through the first three quarters will continue through Q4. Underpinning our confidence in cash generation is our success in reducing our Brazil exposure. Through September, we collected over $500 million of receivables in Brazil, reducing the outstanding receivable balance by over $200 million. By the end of 2016, we expect to have collected over $700 million of outstanding receivables in Brazil alone. Equally importantly, a significant proportion of the collections are coming from those accounts that were past due at the start of the year, improving the quality of the remaining receivables balance. Our receivables balance in Brazil, however, remains higher than we believe it should be, and we expect to continue to reduce it over the coming seasons. Based on our current visibility, we believe that we have the ability to reduce the current balance by approximately $400 million. We will deliver this reduction over the next 18 months to 24 months. Our strong cash generation has helped us reduce our net debt by over $200 million so far this year, and we expect this to fall further by year-end. Combined with higher trailing EBITDA, our adjusted net debt-to-LTM EBITDA ratio will fall into the 2.5 times to 3 times range as we enter 2017. We will continue to manage our debt to a level consistent with our current credit rating. And looking into 2017, we expect that capital expenditure to remain similar to 2016 at or just ahead of depreciation, even allowing for our planned expansions in Lithium Hydroxide. We will continue to seek out opportunities to invest in technologies and products for our Ag Solutions business. And at an appropriate time, in 2017, we would expect to revisit our ability to engage in share repurchases while maintaining our other net debt, credit rating and investment objectives. And with that, I will turn the call back to Pierre.
Pierre R. Brondeau - FMC Corp.: Before closing, I would like to share a few initial thoughts regarding 2017 on slide 8. Based on what we see today, we expect the global crop protection chemical market to be about flat in 2017, creating a more stable operating environment for FMC Ag Solutions. Market demand in Europe and Asia continues to grow and more normal weather conditions should lead to an improved demand environment in those regions next year. While it remains very early to predict the market crop protection chemicals in Latin America, we are pretty confident that we will enter 2017 with better market fundamentals than either of the previous two seasons. In contrast, we expect market conditions in North America to remain challenging as we do not believe that the market-wide de-stocking process has run its course and that elevated levels of channel inventory combined with low-commodity prices will dampen grower demand across the region. In a flat market and assuming stable currencies, we believe Ag Solutions is well-positioned to deliver another year of growth in segment earnings. Revenue synergy opportunities in Europe and North America, planned new product introductions and continued cost savings will more than offset cost inflation. Our primary view is that Ag Solutions' segment earnings will grow by high single-digit percent in 2017. In Health and Nutrition, next year, we expect growth rate for revenue and segment earnings to return to historical levels both low- to mid-single digit percent. In Lithium, the combination of higher prices, increased lithium hydroxide volume and continued cost discipline should increase segment earnings by about 40% in 2017. We expect to realize higher prices in all major downstream products next year, with the most significant increase in lithium hydroxide. The multi-year lithium (24:00) hydroxide contracts are negotiated in the fourth quarter. And based on the status of customer negotiations to-date, we expect the average realized price to be significantly higher in 2017. We also expect to see a meaningful increase in the production of lithium hydroxide next year as a result of our previously announced capacity expansion. Construction of our hydroxide unit is ahead of schedule. Based on the current construction timeline, we expect production of lithium hydroxide to increase by 4,000 metric tons in 2017, with total production capacity increasing to 18,000 metric tons per year by the middle of next year. Feeding the growth in demand for FMC's downstream lithium product requires access to increasing volume of lithium carbonate. Earlier this week, we announced an agreement with Nemaska Lithium to source 8,000 metric tons of lithium carbonate per year, beginning in mid-2018. These agreements represent only one element of our sourcing strategy and we are actually pursuing multiple paths to diversify our carbonate source. In the near term, we will increase capacity at our Argentina operations by approximately 20% to low capital cost action. We continue to evaluate long-term supply agreements and partnerships with other producers of lithium carbonate, and we retain the option of expanding our carbonate production operation in Argentina in order to ensure we have a secure, reliable and cost-competitive supply of lithium carbonate. At the corporate level, we expect costs to remain roughly flat and to continue to reduce debt. Combined with a lower tax rate for 2017, as Paul mentioned earlier, we expect to grow EPS at a faster rate than we grow operating earnings. Consistent with prior years, we will provide more details and specific guidance for 2017 in February when we report our Q4 and full year 2016 results as we first need to see how the year ends and assess business and market conditions at that time. To conclude, I am very pleased with the performance in the quarter and year-to-date. In volatile markets, FMC has continued to execute its strategy and deliver substantial growth in earnings. I believe we are positioned to continue this in Q4 and beyond. We continue to invest in our technology pipeline in Ag Solutions and are launching new products that bring greater value to the grower. Last month, we announced that FMC has begun the registration process in North America over Bixafen fungicide, (27:42) one of the nine active ingredients in our R&D pipeline. With our unique high return R&D model for active ingredients innovation and strong regional formulation capabilities, FMC is well-positioned to deliver the technology and service that growers demand. We will provide additional information regarding our technology pipeline in the coming months. Health and Nutrition continues to generate high margins and strong cash flow, and demand across our core nutrition and health market continues to grow. We are in the process of commissioning our new MCC production facility in Thailand, which will serve the growing nutrition markets in Asia. Demand for our downstream retail products continues to increase. FMC is well-positioned to maintain its leading position in lithium hydroxide, butyl-lithium and lithium metals, and we continue to pursue multiple paths to diversify our resources of lithium carbonate to feed the expected growth in the business. Our agreement with Nemaska is just the first step and we look forward to announcing more actions in 2017. In closing, the actions we are taking will continue to drive performance across our businesses and position FMC to deliver increasing value to our shareholders into 2017 and beyond. I thank you for your attention this morning. With that, I will turn the call back to the operator for questions.
Operator: Thank you. Our first question today comes from the line of Christopher Parkinson with Credit Suisse. Please go ahead.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Thank you. Your results far exceeded what your peers have been indicating for European crop protection growth, especially in 3Q. And you mentioned some things in your presentation such as direct market access across Eastern Europe and strong herbicide sales in the UK. But can you just talk a little bit more about the longer-term key drivers in the market, let's say, over the next two years? Are we in the early innings of the Eastern European theme and what's the latest update on new registrations? Thank you.
Mark A. Douglas - FMC Corp.: Hey, Chris. This is Mark. You highlighted the points that we put out in the release regarding how we grew in Europe. I think, for us, going forward in the next few years, it's very much what we've just said in terms of direct market access. We're very pleased with what we see in Eastern Europe, but we're working off a pretty small base. And we have the JV that we had in Czechoslovakia, Poland. It's important for us to expand in that area, but we shouldn't forget that France, Germany, the UK, Spain, Italy, they're all important markets where we intend to put new products into the pipeline. We do have new products coming next year and the year after, that are based upon our Clomazone franchise for herbicides. So, we expect to see significant growth in herbicides as we move forward. And, in addition, with the acquisition of Cheminova, we've also, as we've said, expanded our fungicide portfolio. So you'll see us grow our European fungicide business substantially over the next three to five years. That's mainly the growth for us.
Pierre R. Brondeau - FMC Corp.: And, Chris, remember that many of the products FMC was selling in Europe are registered today in places like France, Italy, Spain, Portugal, Southern Europe, UK. We were just not benefiting from a very strong sales organization as we were working with a distribution network, which was mostly focused on Northern Europe. So, even without adding many registration, which we will, and we have new product coming, we just have to start to increase our face-to-face presence with the market is going to dramatically increase our immediate growth.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Great. And just a quick follow-up, can you just also quickly comment on where you think the insecticide inventory issue is in Brazil and how that may or may not affect the market heading into 2017? And also, you've seen some recent spikes in sugar and cotton prices, could you just quickly comment on the conversations you're having with those customers, as I imagine they've been better than they have been over the last couple of years. Thank you.
Pierre R. Brondeau - FMC Corp.: Yes. I think we are always very careful when we talk about level of product inventory in the channel overall at the market level. But the situation in Brazil, including for insecticide, is right now feeling, I would say, more stable. As you can see, year-on-year numbers show a decrease in sales, in addition to the product rationalization. So we believe there is actions which are being taken for insecticides and other product to decrease the level of inventory in the channel. The discussions with growers are better. They are easier on pricing, they are easier on term and our volume are more predictable. So, we do believe it is decreasing. We don't believe it's decreasing fast enough to create a very robust 2017 number, but I would say we want to be entering 2017 in a more stable situation and more flattish market than we did in the previous two years. Mark, do you want to comment on the sugarcane?
Mark A. Douglas - FMC Corp.: Yeah, sure. Chris, well, you mentioned cotton and sugarcane, obviously important crops for FMC down in Brazil. I'm more confident in sugarcane than I am in cotton. As we've talked about, and Paul alluded to, in terms of collections, we've been very prudent in our exposure to certain areas of Brazil and certain, and crops. I would say the cotton growers have faced a very tough time in the north due to the drought. So, liquidity is important for them and we're watching that situation very carefully. Acres are expected to be flat to slightly down in Brazil as we go forward into the next season. Switching to sugarcane, you're right, sugar prices are at least double where they were last year. Ethanol prices are up in Brazil. So, the fundamentals for the business is good. The one thing they're lacking right now is liquidity, given all the debts they've incurred over the last few years. We're ideally positioned. We have strong market shares in insecticides and herbicides. Planting is down right now, probably about 30% due to that liquidity. But I think as the business unwinds next year, I'm very confident that our sugarcane business will grow next year and be a good buffer for some of the other downsides we might see in cotton.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Helpful.
Pierre R. Brondeau - FMC Corp.: Just to repeat, Chris, I want to use your question to make sure that we are clear. But we are continuing with a – it's a different strategy but, really, we are not focused on volume at all today. I mean, what is very important for us today is pricing our technology where it should be priced, decreasing the level of our product in the channel, getting terms which are right and collecting. We believe the market is such that this is the right strategy which will make us much stronger when we get into a situation where the market turns around.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Very helpful color. Thank you.
Operator: Our next question today comes from the line of Daniel Jester with Citi. Please go ahead.
Daniel Jester - Citigroup Global Markets, Inc. (Broker): Good morning, everyone. Maybe I can just follow up on Chris' question in a different way. I think you said that low-margin product in Brazil which you're exiting, it should relate to (36:20) 60% of the volume decline in the quarter. So, maybe can we just talk about what's driving the 40% of the rest of the volume decline?
Pierre R. Brondeau - FMC Corp.: There is two things which are driving the remaining 40%. First of all, we believe, and we'll confirm that at the end of the fourth quarter, but we are believing that – we believe that we are in a situation in Brazil where the market will still be down in the 10% range year-on-year for the full year, so there is a market driver. There is also the fact that we are moving away from sales, not because of rationalization, but because of credit risks or term. We are very cautious in not selling for the sake of selling. We are selling when we know we can get no more terms for the region and we will be able to collect. So, as I said before, volume is not the priority. So, those are the three reasons. Sales, which are safe, with good terms, market which will decline and product rationalization, those are the three drivers.
Daniel Jester - Citigroup Global Markets, Inc. (Broker): Okay. That's helpful. Thank you. And then, I think you also commented that operating margins in Brazil are sort of approaching where you were in 2014, but I think for the Ag segment as a whole, margins are still below 2014 levels. So, can you comment on the other regions and where you see margins stay and how maybe they can improve into 2017? Thank you.
Pierre R. Brondeau - FMC Corp.: I think that if you look at when we made the acquisition of Cheminova, acquiring Cheminova would bring to us many benefit in term of creating more global business, a broader fungicide portfolio, a direct access to market in Europe and other benefits, more solid performance in – more solid market presence in India and Australia. But we also realized that the margins Cheminova was realizing were not at the level of what we're expecting, and we had a plan to bring those margins through cost saving, pricing and new product introductions to the historical level of FMC. And that's the road we are on. I have to say that despite the market condition, the year-end has – after closing on the Cheminova acquisition, we have brought back those margin to 20%, which is well in, for the fourth quarter, which is well in-line, even ahead of our schedule. We still have work to do. We still have – remember, we still have additional costs to extract from the business, from the acquisition in the next six months to nine months. So, we see that work. But we are well on our way to margin north of 20%. It is just integration of Cheminova, the pricing of the technology and the new product introduction but we are well on our roadway right now.
Daniel Jester - Citigroup Global Markets, Inc. (Broker): Okay. Thank you very much.
Operator: We'll go to the line of Mike Harrison with Seaport Global. Please go ahead.
Michael Joseph Harrison - Seaport Global Securities LLC: Hi. Good morning.
Pierre R. Brondeau - FMC Corp.: Good morning.
Michael Joseph Harrison - Seaport Global Securities LLC: Eric, I was wondering if you could talk a little bit about the cost structure and some of the key margin drivers that you saw in Health and Nutrition this quarter? Did we see any of the variance impacts during this quarter that you mentioned you're going to be seeing in the fourth quarter?
Eric W. Norris - FMC Corp.: Hey, Mike. Eric here. So, it's a complicated question because the costs that flow through at any one quarter are related to a variety of factors, where a lot of it is stemming from manufacturing, excellence programs. So, that's a sustainable component. However, as we talked about and the guidance Pierre gave for the fourth quarter, we'll see benefits stem from things such as seasonality and how we harvest seaweed, right? There are times of the year, particularly off the coast of Norway where we get a higher quality seaweed, we have more access to the waters because of the favorable weather, what-have-you, that drive one-off opportunities in costs. And the way our variances work, that flows through and it's part of the benefit we see in the fourth quarter. I want to make sure, does that answer the question you're after?
Pierre R. Brondeau - FMC Corp.: Mike, maybe to answer a little bit more your question, if you look at previous years, it is not an abnormal situation to see – you could see it maybe not to the same extent, but you can see it through the 2015 results, where you would see higher margin in Q4 than you would see in Q3. So, we realize over the year a 25% margin for the business, but we recognized that there is some seasonality to a margin in this business. So, there is not always a connection between a margin improvement you will see in Q4 and what you could realize in Q3.
Michael Joseph Harrison - Seaport Global Securities LLC: Yeah. I guess the question that I had, Eric, also had to do with the weakness in volumes during the third quarter, yet you were able to show pretty nice margin improvement. And I was wondering if there was some variability around the costs or if this was structural cost take-out that was really driving the margin improvement?
Eric W. Norris - FMC Corp.: Yeah. I would say it's more of the latter. The structural improvements we've made, there's nothing unique about what's happened sequentially from one quarter to the next. Volumes were lower for the reasons Pierre referenced, Omega-3, as well as some timing in our Health business. But the cost side of that is pretty consistent. There's a structural component that gets us to a sustainable margin that's in the mid-20%s, notwithstanding the occasional and what we've seen in prior quarters benefit we may get in certain quarters like the fourth quarter that are not benefits you roll forward into the first quarter or second quarters of the following year.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. Then, I had a question on the Lithium business. Can you comment on what you were seeing in price activity sequentially across different products?
Pierre R. Brondeau - FMC Corp.: I think I'll have Tom commenting more on the pricing. But right now, if you look, we have a lot of benefit from pricing on lithium carbonate up to now and maybe less of a pricing benefit of lithium hydroxide. We are now getting into the period of new contract negotiation of lithium hydroxide, which will impact mostly 2017. So, directionally, what we do expect is we do expect to start to see a very significant ramp up in lithium hydroxide pricing, which is very much in line with the negotiation we are having while we will see, maybe, a more stable pricing in lithium carbonate, potentially lowering into 2017. Tom, you want to add some more color to that?
Thomas Schneberger - FMC Corp.: Yes. Just to give a little more color to that, on the hydroxide, the contract negotiations are proceeding well and over the coming month, they should be all solid. We're progressing well through those. And on the carbonate, as most folks saw in the market, there was a little bit of softening in Q3 particularly in China. What we'll see going into next year is the smaller volume of carbonate that was locked in at lower prices, similar to the hydroxide, will come up, and we expect some softening on the top-end, so net-net we'll go into next year on those more opportunistic product lines kind of flat to slightly down.
Michael Joseph Harrison - Seaport Global Securities LLC: Excellent. Thanks very much.
Pierre R. Brondeau - FMC Corp.: And the big story once again for us, I mean, because of the strategic focus, because of the timing of where we are in contract negotiation and increasing capacity coming up next year, the big focus for us and where you're going to see the other contributor to earnings growth is lithium hydroxide.
Operator: Next, we'll go to the line of Don Carson with Susquehanna. Please go ahead.
Ben Richardson - Susquehanna Financial Group LLLP: This is Ben Richardson sitting in for Don. Just sticking on, with the topic about lithium, you say you're ahead of schedule with the ramps there. Can you just maybe speak to the timing of additional tonnage?
Pierre R. Brondeau - FMC Corp.: Yes. What we – we're expecting the mechanical completion of the plant. I had the pleasure actually to be there two weeks ago and see the plant's looking really good. We expect the mechanical completion of the plant in the fourth quarter this year. We're going to be able to start to have product coming out of the plant in the first quarter, and then we're going to start to answer the customer qualification of the product. So, we believe with the commercial situation where the products are produced by the plant by the expansion and qualified to the customer by the middle of the year. So, the 8,000-metric-ton capacity we have for next year should give to us a 4,000 additional tons of products into 2017 and the full 8,000 when we get into 2018.
Ben Richardson - Susquehanna Financial Group LLLP: Okay. And, I guess, flipping back to Ag and specifically potential divestitures in your space and how you see that development?
Pierre R. Brondeau - FMC Corp.: We are in contact with any of the companies which are currently consolidating, and we are standing ready to participating in the purchase of any molecule – any of those company would be divesting if they meet our portfolio. I have to say that so far, we haven't seen anything which would be critical to our portfolio or any significant technology put on the market. But I think those companies are still in an early stage of the antitrust reviews. So, we are standing ready but haven't seen anything right now which has been attractive to us.
Ben Richardson - Susquehanna Financial Group LLLP: Okay. Thank you very much.
Pierre R. Brondeau - FMC Corp.: Thank you.
Operator: And our next question is from the line of Joel Jackson representing BMO Capital Markets. Please go ahead.
Milan Shah - BMO Capital Markets (Canada): Hi. Good morning. Thanks. This is Milan on for Joel. Just following up there on the acquisitions. I mean, if you are to pursue something, can you maybe give us, put some numbers around magnitude and what would be the funding? I mean, what sort of leverage would you be comfortable going back up to potentially?
Pierre R. Brondeau - FMC Corp.: I will talk to the leverage. The size, I mean, really, I would not like to speculate here on the result of any antitrust reviews, and what could be the consequences in term of what product would be for sale and what will be the price. Now, of course, we do our own work to be ready and try to anticipate but that's only speculation on our part to stand ready but it's very hard to tell until the antitrust process in each of the region is taking place and having the companies, making decisions around their portfolio. Paul, do you want to talk about the leverage?
Paul W. Graves - FMC Corp.: Sure. Again, to Pierre's point, it's difficult to be particularly satisfying to you with the answer without any real specifics. But I think it's fair to say, I think you've seen from our cash flow performance, we are generating a fair degree of cash right now. We're deleveraging quickly. Because we've bought products like this frequently in the past, one of the key characteristics is that they are typically very cash-generative from day one. And so, they can stand a pretty decent amount of leverage from day one. We also are very disciplined on price. Based on everything we see, we don't see any risk to our credit rating from a cash acquisition of any of the available interesting assets that are out there right now. Again, that could change depending on what assets come available. But we don't see any particular challenge to add our balance sheet based on the opportunities that are available that we see today.
Milan Shah - BMO Capital Markets (Canada): Thanks. Maybe just switching to Omega-3, you talk about some abating headwinds going into next year. I mean, is the environment more competitive, equally competitive, less competitive than you were perhaps seeing last quarter and going into 2017?
Pierre R. Brondeau - FMC Corp.: Omega-3 is, I would say, it is not getting worse, but it is not getting better. I think it's a challenging environment. Right now, we are focusing on actions for us to leverage some of our manufacturing capability and quality of product and especially the fact that we have, know we have made product which have very high quality and command a premium to try to improve our situation. But, frankly, at that stage, with the oversupply there is in this market and the number of players, the improvement you will see on Omega-3 will be driven by the work we do commercially and cost-wise more than us benefiting from the market. When we've announced the numbers for expected growth for the Health penetration (51:05) business next year, we are very, I would say, prudent around putting into those numbers any significant improvement in the Omega-3 market, which we do not see. So, it is a challenge. We are addressing it. I would say, right now, I have to admit we are more in damage control than expecting growth but that's the situation for Omega-3.
Milan Shah - BMO Capital Markets (Canada): Thank you very much.
Operator: Our next question comes from the line of Steve Byrne with B&A (sic) [BofA] (51:40). Please go ahead.
Unknown Speaker: Thank you. This is Ian sitting in for Steve (51:41). Cash flow generation has been very, very good this year and I appreciate the comments about some of the collections in Brazil and looking forward to 2017, provided some preliminary guidance about expecting earnings growth. Should cash from operations grow at the same level of earnings or higher or lower?
Paul W. Graves - FMC Corp.: Yeah. I think you heard in my comments we talked probably still about $400 million of excess receivables sat on our balance sheet related to Brazil. And, we'd certainly expected to start to collect a significant proportion of those next year. So, given that, we would expect cash flow to continue to grow really similarly, like how it did this year. We'll generate higher EBITDA. We do not expect to have any meaningful cash outflows for CapEx over and above what we have today, and we expect to continue to decapitalize our balance sheet in Brazil. So, yes, I would expect cash flow to continue to grow next year just as strong as it's been this year.
Unknown Speaker: Thank you. And as a follow-up, just kind of on the broader market. For Ag, specifically in Latin America, what things would you be looking for to potentially become more optimistic about a rebound in that region? I think sales are still far below prior levels of peak. What does the industry need to see?
Pierre R. Brondeau - FMC Corp.: Well, I think, for me, there's a couple of things. First of all, on the macro level, obviously, if commodity prices start to come back, we're going to see expanded acres down in Brazil for a lot of the row crops. That's one factor. And, then the second factor is just the internal health of that business in the sense of where channel inventories are, pest pressures, the normal seasonal-to-seasonal activity in Ag. I think if you can get those things coming together, you're going to see somewhat of a rebound in the marketplace. But pest pressure is obviously, nobody knows where the pest pressures are going to lie. Commodity prices are going to take some change in overall yields in North America and Latin America. So, we've said what we feel the market will be next year. Those will be the two items in Brazil in particular and potentially Argentina that would change that picture.
Paul W. Graves - FMC Corp.: The one thing I'd just add to that I think having a stable macro-political environment and improved access to credit for the growers will be a positive if we see that start to happen as well.
Unknown Speaker: Thank you very much.
Operator: Our next question is from the line of Mark Connelly with CLSA. Please go ahead, sir.
Mark Connelly - CLSA Americas LLC: Thank you. Pierre, last quarter, you talked about some optimism in your outlook comments for Health and Nutrition, but not about seasonality in Q3 and Q4. What I'm wondering is do you think you have the right mix of products for what customers are looking to do with their products over the next couple of years or do you need to tweak your portfolio, leaving Omega-3 aside?
Pierre R. Brondeau - FMC Corp.: That's a very good question and I'll tell you, it's a difficult one to answer. I believe that we have very solid positions in MCC, alginate and carrageenan. I do believe that we have the right formulation technology allowing us to meet the changing need of the market and the customers. And that's the business today, if you put Omega-3 aside, we have strong market share and we are the leading supplier and the place where customers go today when they have need for new product or new technology. So, I believe this is a business which will, for the next two, three years, continue to grow in the mid-single digit, as we said in the guidance, with very strong margin, 25%, and good cash generation. So, to answer your question, I'm quite confident around that business for the next two to three years. We do have interesting new ideas based on the current product we have for new technology for some of the changing market needs around health and other applications. The question for me is more three years and beyond. Really, where do we want to take that franchise? We have great product today. We have great margin and good cash generation. The first attempt to do that was Omega-3. I think we didn't do a good job there. The question is what we want that business to be, not in the next two, three years, but beyond that. So, to answer your question, yes, for the next two, three years. Beyond that, we need to do a lot of work to define the mid-term strategy for Health and Nutrition.
Mark Connelly - CLSA Americas LLC: Okay. That's super helpful. And if I could just come back, I hate to beat on the working capital issue, but just a clarification. Of the additional $400 million and everything else you're doing down there, are your credit practices in Brazil going to be materially different than legacy FMC or is this just a matter of we've got the Cheminova clean-up and better execution, well, and customers in better shape?
Paul W. Graves - FMC Corp.: So, the first thing I would say though is when we look back at the position that find ourselves in, in Brazil, much of it is driven by some of the comments that Pierre talked about, about changing the way we approach the business. And instead of focusing on volume and volume growth and share growth focusing on getting the maximum value. An important part of that is assessing the quality of the customer and the quality of the products that we sell. We do not expect to be in a meaningfully different place in terms of terms, in terms of structure, in terms of credit that we extend to customers to either history or the rest of the market. But we will be much more and we are being much more disciplined about where we're willing to take exposure. It's really a function of multiple factors. It's a function of the movement in commodity prices, it's a function of the weaker access to credit for the growers down there in the market, and it is to an extent, a function of our ability to integrate the Cheminova portfolio and have a higher margin more technical portfolio really across all regions and all crops. So, it's more than one factor that's driving this move towards a stronger credit position with our customers down there.
Pierre R. Brondeau - FMC Corp.: I think, generally speaking, the crop chemical industries, as a whole, for us and all of our peer company is an industry which is in Latin America and Brazil which has been historically focused on growth and maybe a bit more open to taking risk to gain market share. And we were there with all of our competitors. I do think, today, we might have a strategy without fundamentally changing what we've done to be more careful for the foreseeable future. I think it's important, it's working for us and it's allowing to collect, to price our customers who want our product. So, we're going to be maybe on the lower end of the risk taking without fundamentally changing the way we look at our receivables.
Mark Connelly - CLSA Americas LLC: Okay. Thank you both.
Operator: And we have a question from the line of Dmitry Silversteyn with Longbow Research. Please go ahead.
Dmitry Silversteyn - Longbow Research LLC: Hi. Yes. Good morning. Thanks for taking my question. Couple of follow-ups if I may. First of all, with regards to your announced deal for 8,000 tons of carbonate that you're going to be getting from your new partner. Is that pretty much all of their capacity or, and do you have the right to all of that capacity or is there more behind that?
Pierre R. Brondeau - FMC Corp.: The 8,000 ton is, when you say their capacity, it's not their – it's our capacity. I mean, this plant. If you talk about the expansion in China of this plant...
Paul W. Graves - FMC Corp.: Nemaska.
Pierre R. Brondeau - FMC Corp.: Oh, in Nemaska. Okay. I was talking about the...
Dmitry Silversteyn - Longbow Research LLC: I'm talking about the 8,000...yep...
Thomas Schneberger - FMC Corp.: Yes. Dmitry, this is Tom. I can take that. Nemaska's installed capacity will be 28,000 tons. So, it will be a meaningful part of their capacity but it will not by any means be all of their capacity.
Dmitry Silversteyn - Longbow Research LLC: Okay. And I'm assuming you have some way of getting more if you need more either from these guys or from other sources as you move past 2018, 2019?
Thomas Schneberger - FMC Corp.: Well, with respect to that, as Pierre outlined in his comments, we've got a multi-prong strategy where we're continually evaluating, one, how do we diversify, have security of supply, low cost supply. So, we're not quite ready to announce the other pieces coming but there'll will be multiple components to that including our own investments in our facilities as well as working with others.
Dmitry Silversteyn - Longbow Research LLC: Fair enough...
Pierre R. Brondeau - FMC Corp.: I think it's important in all of the discussions we have – we have this Nemaska agreement. We are in current discussions with some other suppliers of carbonate for partnership. But let's not forget that there is one aspect for which we have 100% of the decision. It is expanding in Argentina. We can expand in Argentina. We do have the mines. We do have the capability. We have the infrastructure. So, it is a decision we can make. I have to admit that I'm not in a rush to make that decision because with all of the companies today investing in lithium carbonate, I believe there will be plenty of lithium carbonate for the next two years, three years, four years. But this is a decision we can make at any time.
Dmitry Silversteyn - Longbow Research LLC: Okay. And then, you actually kind of led into my next question, Pierre. There's a 20% debottlenecking expansion that you're undertaking in Argentina. What's the timing for that to come online? Is that a back-end of 2017 as well?
Pierre R. Brondeau - FMC Corp.: Yeah. This is going to start right now. I mean, we're going to see this capacity of carbonate coming in at some point during 2017, 2018. So, this is undertaken right now.
Dmitry Silversteyn - Longbow Research LLC: Right.
Pierre R. Brondeau - FMC Corp.: It is low capital and no more debottlenecking. The team has been working and we have, I think, three work streams which are allowing us to get to this kind of numbers, but it's more routine-capital expansion. I mean...
Dmitry Silversteyn - Longbow Research LLC: Got you.
Thomas Schneberger - FMC Corp.: And, Dmitry, just to give you a little more color on that, there's multiple components of that. So, there's some operational efficiency changes. There's some low-capital projects. There's a number of small projects that, over the course of 2017 and 2018, we'll add that.
Dmitry Silversteyn - Longbow Research LLC: So, it sounds like you're – if I do my math right here, your Argentina production will go up to about 21,000 tons, is that about right?
Pierre R. Brondeau - FMC Corp.: Yeah. That's correct
Dmitry Silversteyn - Longbow Research LLC: And then final question on the crop protection business and sort of your margins have been, in the past, very differentiated between sort of 25% level in the first half of the year and kind of 20% level in the second half of the year, given where the regions that you get your sales from. This year, obviously, has been distorted by everything that's going on. So, it's going to be more like first half and second half to be more or less even in terms of margin. As the business gets back to sort of normal execution, how do we think about 2017 margin cadence? Should we expect sort of 3-point to 4-point margin difference between the first half and the second half of the year or is it going to be more like this year where margins are a little bit more even between the quarters?
Pierre R. Brondeau - FMC Corp.: Yeah. We're going to get into next year and then once again, it's a bit early for us to break down by quarter. We've given a directional number. But yes, the profile of the margins and the business is going to change versus historical FMC just because we have a very different regional profile. I mean, remember, we're very small in Europe. We going to be much bigger in Europe where there is good margin in our business. So, I would say that directionally, we should have less variation in our quarterly margins that we had in the past. Now, there is two things happening today, if, there is the market situation, there is a different approach we are taking to the Latin America market and there is the cost synergies, which are growing quarter after quarter. So, that is taking us to improve margin and taking us to the 20% range. But I would say in the future, you'll have more stable margin quarter-over-quarter.
Dmitry Silversteyn - Longbow Research LLC: Okay, okay. Thank you.
Operator: We have time for one more question today. And that will come from the line of Robert Koort with Goldman Sachs. Please go ahead.
Christopher Evans - Goldman Sachs & Co.: This is Chris Evans on for Bob. Thanks for taking my questions. In Lithium specifically, pretty, 40% of earnings growth assumption for 2017, I think you mentioned earlier kind of a low – flat to down expectations for pricing in carbonate. Can you kind of give the other expectations that are driving that assumption for 2017?
Pierre R. Brondeau - FMC Corp.: I would say, well, first, if you look at our business in 2017, we're expecting to be – and, Tom, correct me if I'm a bit off here, but I would say, almost 90% of our business revenues being on the specialty side, the downstream, and only 10% on the upstream, which is carbonate and fluoride. So, we're going to be even more dependent upon the downstream business. We are expecting, I would say, little benefit from carbonate, chloride pricing, knowing that it's only a small percentage of our business, and we believe this pricing is going to level off in 2017. So, you would consider the 40% improvement is going to mostly come from two things, pricing in lithium hydroxide and volume in lithium hydroxide. You will understand that I'm going to be a bit careful on what I'm expecting in term of lithium hydroxide price increase because we are in the middle of a bunch of contract negotiations. So, we will give you more detail around pricing when we get to the February earnings call because those negotiations will be behind us.
Thomas Schneberger - FMC Corp.: To add a little bit more color to that, you have to realize that most of our specialty business is contracted in the prior year. But, when we contracted a lot of that, it was before we saw how strong the pricing had moved across the market overall. So, there's a little bit of a catch up that's happening across all of the specialty products.
Christopher Evans - Goldman Sachs & Co.: Thank you. And just on the supply agreement to speed your hydroxide ramp, should we expect the additional volumes to comes from new entrants like Nemaska or do you expect from existing (01:07:21) or hard rock producers?
Pierre R. Brondeau - FMC Corp.: Yeah. So, of course, when you look at a supply of carbonate to seed growth, you want to be certain that you have the appropriate mix of new entrants and established players. So, we will not, having a strategy to supply carbonate into our business based only or mostly on new entrants in this market. Nemaska, we believe is one of the most solid today, with one of the best source of lithium, so we believe it's a fairly certain supply we're going to get from them but we will do two things. One is supply from existing suppliers and not to forget that some of them already supplying to us carbonate. And second of all, to repeat, we can also increase our own capacity of carbonate which is something, if we decide to do it, there will be a sure supply.
Christopher Evans - Goldman Sachs & Co.: Thank you.
Brian P. Angeli - FMC Corp.: So, we appreciate your time. That's all the time we have for the call today. As always, I'll be available following the call for any additional questions you may have. Thank you.
Operator: That concludes the FMC Corporation third quarter 2016 earnings release conference call. Thank you.